Operator: Greetings, and welcome to the First American Corporation Third Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator instructions) A copy of today’s press release is available on First American’s website at www.firstam.com/investor. Please note that this call is being recorded and will be available for replay from the company’s investor website. We will now turn the call over to Craig Barberio, Director of Investor Relations, to make an introductory statement. Thank you. You may begin.
Craig Barberio: Good morning everyone, and thank you for joining us for our third quarter 2014 earnings conference call. Joining us on today’s call will be our Chief Executive Officer, Dennis Gilmore; and Mark Seaton, Executive Vice President and Chief Financial Officer. At this time, we would like to remind listeners that management’s commentary and responses to your questions may contain forward-looking statements, such as those described on Page 4 of today’s news release, and other statements that do not relate strictly to historical or current fact. The forward-looking statements speak only as of the date they are made and the company does not undertake to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in these forward-looking statements. Factors that could cause the anticipated results to differ from those described in the forward-looking statements are also described on Pages 4 and 5 of today’s news release. Management’s commentary contains, and responses to your questions may also contain, certain financial measures that are not presented in accordance with generally accepted accounting principles, including personnel and other operating expense ratios, adjusted personnel costs and adjusted other operating costs. The company is presenting these non-GAAP financial measures because they provide the company’s management and investors with additional insight into the operational efficiency and performance of the company relative to earlier periods and relative to the company’s competitors. The company does not intend for these non-GAAP financial measures to be a substitute for any GAAP financial information. In the news release that we filed today, which is available on our website www.firstam.com, the non-GAAP financial measures disclosed in management’s commentary are presented with and reconciled to the most directly comparable GAAP financial measures. Investors should use these non-GAAP financial measures only in conjunction with the comparable GAAP financial measures. With that, I would now like to turn the call over to Dennis Gilmore.
Dennis Gilmore: Good morning. Today, I’ll review our third quarter financial highlights and comment on our business outlook. Total revenues for the third quarter were $1.3 billion, down 3% compared to the third quarter of 2013. Net income in the quarter was $81 million or $0.74 per diluted share. In the third quarter, the Title segment delivered a pre-tax margin of 10.4%. A continued emphasis on operating efficiencies coupled with seasonal strength in the purchase and commercial markets had a favorable impact on our results this quarter. Total closed orders per day in our Title segment fell 20% compared to last year, driven by a continued decline in refinance orders. This decline was largely offset by a 20% increase in the average fee per order, due to the ongoing shift in the order and mix to higher premium purchase and commercial transactions. Our closed purchase orders for the quarter were down 5% compared to last year. However, our average fee per purchase order increased 8%. Our commercial business continued a strong performance generating a $149 million in revenue during the quarter, up 7% from last year. Revenue in our Specialty Insurance segment grew by 10% during the quarter, driven by higher earned premiums in both our home warranty in our property and casualty business. Our Specialty Insurance segment’s pre-tax margin was 11%. Third quarter results were particularly strong in our home warranty business driven by a lower loss ratio, due to decline in weather related claims and continued operating efficiencies. In anticipation of a normal fourth quarter seasonal slowdown in the residential purchase market, we have reduced headcount by approximately 300 through mid-October. With the recent sharp decline in interest rates, refinance activity has jumped significantly to an average of 2,000 orders per day over the last week. If interest rates remain near the current level, these factors may help to soften the normal seasonal decline in earnings. I’m optimistic we will see continued improvement in the residential purchase market in 2015 and beyond. For example recent statements from the Federal Housing Finance Agency are encouraging. They’re providing greater clarity to lenders regarding buyback risks and the agency appears to be taking additional steps to increase access to credit. In my opinion these efforts, among others, will help to stimulate the ongoing recovery of the housing market. Looking forward, the investments First America have made on our people, our technology and our data assets, have led the foundation for us to capitalize on the ongoing house recovery and achieve our vision of being the premiere title insurance and settlement service provider. I’d now like to turn the call over to Mark for a more detailed review of our financial results.
Mark Seaton: Thank you, Dennis. Total revenue in the third quarter was $1.3 billion down 3% compared with the third quarter 2013. Net income was $81 million or $0.74 per diluted share compared with net income of $54 million or $0.59 per diluted share in the same quarter of last year. The current quarter results include net realized investment gains of $14 million or $0.09 per diluted share. Additionally, the current quarter benefited from a 30% effective tax rate, due to a lower effective foreign tax rate as well as certain non-recurring tax benefits. We expect our normalized tax rate to fall to 36% primarily as a result of improved profitability in our international operations. In the Title Insurance and Services segment, direct premium and escrow fees were down 3% compared with last year. This decline was driven by a 20% decrease in the number of direct and title orders closed, largely offset by a 20% increase in the average revenue per order. The average revenue per order increased to $1,926 driven by the continued shift in the order mix, the higher premium purchasing commercial transactions. Additionally the average revenue per order increased 8% for commercial transactions and 8% from purchase transactions and 10% for commercial transactions, reflecting higher liability deals. Agent premiums were down 10% reflecting the normal reporting lag in agent revenues of approximately one quarter. The agent split was 79.6% of agent premiums, a 60 basis points improvement from last year. Information and other revenues totaled $161 million, up 1% compared with last year, driven by the impact of the recent Interthinx acquisition offset by lower demand for the company’s default information products. Personnel costs were $346 million, down $5 million or 1% from the prior year, excluding the $11 million impact of recent acquisitions. Personnel costs declined by 5% due to lower salary overtime, incentive compensation, and severance expenses. Other operating expenses were $202 million, down $2 million or 1% from last year, excluding the $9 million impact of recent acquisitions. Other operating expenses declined 5% due to lower production related expenses and temporary labor costs. The ratio of personnel and other operating expenses to net operating revenue was 74.5%. In the third quarter, the provision for title policy losses and other claims were $65 million or 6.7% of title premiums and escrow fees, compared with a loss provision rate of 5.8% in the same quarter of the prior year. The current quarter rate reflects an ultimate loss rate of 6.0% for the current policy year, with a $7 million net increase in the loss reserve estimates for prior policy years. Pretax income for the Title Insurance and Services segment was $121 million in the third quarter compared with $125 million of the third quarter of 2013. Pretax margin was 10.4%, compared with 10.3% last year. Turning to the Specialty Insurance segment, total revenues were $95 million, up 10% compared with the same quarter of the prior year, driven by higher premiums earned in both the home warranty and property casualty business lines. The loss ratio for the segment was 60%, a decrease from a 64% experienced last year. Pretax margin for the segment was 11% driven by continued strength in our home warranty business. Net expenses in the Corporate segment were $15 million in the third quarter, down 29% relative to the prior year. The improvement was due to decreased cost associated with the company’s defined benefit pension plans. In terms of cash flow, cash provided by operations was $121 million versus $87 million in the third quarter of last year. The increase was primarily driven by lower tax payments and lower claims paid during the quarter. Capital expenditures were $26 million, up from $22 million in the third quarter of last year due to an increase in capitalized software. Turning to capital management, debt on our balance sheet totaled $451 million as of September 30th. Our debt consists of $249 million of senior notes, $150 million drawn on our credit facility, $35 million of trust deed notes and $16 million of other notes and obligations. Our debt to capital ratio as of September 30th was 15%. I would now like to turn the call back over to the operator to take your questions.
Operator: Thank you. At this time, we will be conducting the question-and-answer session. (Operator instructions) Our first question is coming from the line of Bose George with KBW. Please proceed with your question.
Bose George – KBW: Good morning, just wanted to clarify, to what number did Dennis give for the order count, open order count per day over the last few days?
Mark Seaton: The refinance order count has jumped over the last week to 2000 a day.
Bose George – KBW: 2000 a day and what was the count for the last months, is that, is it potentially kind of doubled from where it was?
Mark Seaton: Yeah, we’re up from about 1500 orders a day to about 2000 orders a day. Now we’re talking just specifically refinance.
Bose George – KBW: That’s the refi trend. Okay, great. And in terms of switching to your tax rate, is there any change in your tax rate going forward, just given what’s happening with the foreign income or is, should we just use the normal 38% going forward?
Mark Seaton: There is a change to our tax rate; historically we’ve always talked about 38% to 39% being a normalized rate. But because, primarily because of the improvement in the profitability of our international operations, the normalized rate going forward we think is a lot closer to 36%. And really we get there because we pay 35% federal tax. We pay about 2% in state tax, and then we get about a 1% benefit from our international tax rate, simply because the jurisdictions we do business in have a lower foreign effective tax rates than the U.S. So 36% is a good normalized rate going forward.
Bose George – KBW: Okay, great and then just one more on the order count. In terms of the cash percentage of the total, has that been pretty stable?
Mark Seaton: Yeah it’s been pretty stable, its hovered somewhere between 25% to 30% and it’s been like that for the last several quarters. So it hasn’t really changed much recently.
Bose George – KBW: Okay, great. Thanks.
Dennis Gilmore: Thank you.
Operator: Thank you. Our next question is coming from the line of Mark DeVries with Barclays. Please proceed with your question.
Mark DeVries – Barclays Capital: Yeah, thanks. Just two quick ones from me, first the corporate personnel expense has been running like 10 million, 13 million a quarter. But this quarter was $3 million. Mark what’s the right run rate for us on that going forward?
Mark Seaton: I would say it’s somewhere between 8 million and 10 million. There were two things that happened this quarter in corporate. We had a $5 million benefit because of, basically a pension – that we do typically this time of year. So 5 million was benefited that hit corporate. The other thing that happens in the personnel expense line item is, we have a deferred comp plan that runs through corporate. And so earnings, investment income let’s say on the deferred comp plan, will run through the investment income line item at corporate, but it will also run through the personnel line item at corporate too. And it’s basically awash when you look at pretax income, but that would cause volatility in the personnel line item, but it wouldn’t really have an impact on income at corporate. So I think 8 million to 10 million is a good run rate going forward.
Mark DeVries – Barclays Capital: Okay, great. And then just – if I get an update on how the pipeline’s looking in your commercial business, and what’s your outlook is there into the end of the year and into next?
Dennis Gilmore: Sure, it’s strong actually. As you know our revenues were up about 7% on year-to-year basis, which is right in line with our expectation. Our average deal size also is up about 10% where average fee is going up also. We’re seeing strength really across all the geographic areas and all product types right now. So we have a lot of momentum going into the fourth quarter. And we think ‘15 will be another very good year for commercial.
Mark DeVries – Barclays Capital: Okay great. Thank you.
Operator: Thank you. Our next question is coming from the line of Eric Beardsley with Goldman Sachs. Please proceed with your question.
Eric Beardsley – Goldman Sachs: Hi. Thank you. I just wondered if you could help us think about the year-over-year growth in the purchase ARPU roughly 8% up from 6% the past couple of quarters, what led to that acceleration?
Mark Seaton: We’ve been seeing growth in ARPU every month this year when you look at a year-over-year basis. Historically the rule of thumb is that we’re going to get about half of it from housing price increases. So if you think housing prices are up, say 6%, normally you would think that we would get about a 3% increase in our purchase ARPU, it was higher than that, this quarter at 8% just because there’s other things going on like geographic mix etcetera, but typically we’ve been running about 5% to 6% this year, we just have a little bit higher than this quarter.
Eric Beardsley – Goldman Sachs: And I think you mentioned the higher liability deals, was that related to commercial or was that something on purchase?
Dennis Gilmore: That was commercial.
Eric Beardsley – Goldman Sachs: Okay, and then just as we think about the geographic mix, could you provide any color on, I guess where you saw the most relative strength or weakness in terms of your purchase orders?
Mark Seaton: Well this quarter we saw a strength in Texas, we saw a strength in Florida, we saw strength in New York just primarily because the commercial transactions. California, this quarter, was a little bit weaker than normal, but typically I’d say Florida and Texas and New York, we saw strength. And those are going to have obviously higher liability transactions associated with properties in those states.
Eric Beardsley – Goldman Sachs: Okay, and then just on the purchase side, in terms of residential?
Mark Seaton: Really that was the residential comment except for New York, New York was more commercial. But in terms of the purchase side, its Texas and Florida were strong in this quarter, we saw a little bit of weakness in California.
Eric Beardsley – Goldman Sachs: Okay, so just on the higher liabilities, could you just help us explain what the moving parts to that are and how that affects the ARPU?
Mark Seaton: Are you talking about purchase or commercial?
Eric Beardsley – Goldman Sachs: I guess both.
Mark Seaton: Well really the fees that we get are just a function of the price of the house or in the case of refi, the amount of mortgage. So obviously the higher the liability of the deal, the higher the ARPU that we’re going to get and that really holds through for both commercial and purchase.
Eric Beardsley – Goldman Sachs: Okay, so it’s really just the higher liability would just be more on the refi side as opposed to the purchase side, assuming the total value hasn’t changed?
Mark Seaton: I would say it’s both, I would say it’s on the purchase end of refi side. And on the commercial sides too, we’re just seeing a lot more, just higher quality assets being traded, that they’re just have higher liabilities associated with them and therefore we’re getting higher fees from them.
Eric Beardsley – Goldman Sachs: Okay and then just on the headcount reduction, just wanted to confirm if its 300 since the end of the second quarter, was that the right number?
Dennis Gilmore: No it’s really through the third quarter we started to trend back because of anticipated decline with the seasonal reduction in the purchase orders. And so we’re just getting ahead of the curve for what we think is going to be the normal slowdown going into the fourth quarter on purchase.
Eric Beardsley – Goldman Sachs: Got it. So that’s 300 since the end of September or so?
Dennis Gilmore: No it’s actually two to quarter.
Eric Beardsley – Goldman Sachs: Okay great. Thank you.
Dennis Gilmore: Thank you.
Operator: Thank you. Our next question is coming from the line of Mark Hughes with SunTrust. Please proceed with your question.
Mark Hughes – SunTrust: Thank you, good morning. The last outlook you had a 6% current year loss provision, but a little unfavorable development. How do you think that’s going to play out in the subsequent quarter, do you think you’ll get – is the trend a little more negative on the prior accident years?
Mark Seaton: Well to answer your question I think, at least through the end of the year, we would expect to book a rate that’s similar to the one that we booked in the third quarter, something we obviously will constantly evaluate going forward. This quarter we did add 7 million to our reserves for prior policy years, but I would say the claims this quarter actually were better than our internal expectations. They were about $3 million better in terms of what we thought they were going to be, but we just felt like we’re going to take a cautious measured approach and build a little bit to our reserves. But I think to answer your question Mark, a good number to assume and something similar to what we booked in the third quarter.
Mark Hughes – SunTrust: Similar as in the 6.0 for the current action year, the 6.7.
Mark Seaton: I would say 6.7 –
Mark Hughes – SunTrust: And then the refi revenue per order was also up nicely, is that something that may be sustained?
Mark Seaton: It’s something that we saw that was unique this quarter, typically we haven’t seen much of an adjustment in the refi ARPU but we feel like it was just an anomaly and I wouldn’t expect increases going forward like the one we saw this quarter.
Mark Hughes – SunTrust: And D&A was up a little bit sequentially, should we expect it to be at the same level?
Mark Seaton: It should come down a little bit; D&A in the Title segment was $22 million this quarter. Typically we’ve been running about $18 million, one of the things we did was we finished the purchase price allocation for the Interthinx acquisition. So that’s going to add about $2 million a quarter in the Title segment of increased amortization of intangibles. This quarter we actually had $4 million higher, just because we had to catch up from the second quarter. So I think a good run rate to use going forward for depreciation is about $20 million in the Title segment.
Mark Hughes – SunTrust: Okay. Then final question, anymore even subjective thoughts on what it might mean this higher access to credit, are there regulatory steps that you’re seeing out of the government and others. How meaningful do you think that will be next year?
Dennis Gilmore: I mentioned into my script actually and I’m, obviously I’m optimistic that the recovery in housing will continue into ‘15 and beyond. And we’ve got, we have a few things happening here, the economic continues to improve, the job that continues to improve. And then just specifically we’re seeing better clarity on the regulatory front, which I think just adds to a better certainty for the lenders. So we think better clarity there and we think that the credit box will continue to slightly expand. So I think if you take all of these issues together we look for an optimistic ‘15
Mark Hughes – SunTrust: Thank you.
Mark Seaton: Thanks Mark.
Operator: Thank you. (Operator Instructions). Our next question is coming from the line of Brett Huff with Stephens. Please proceed with your question.
James Rutherford – Stephens: Hello this is James Rutherford in for Brett, good morning and thanks for taking the questions. First questions on the capital allocation, given that you guys doubled the dividend earlier in the year and came with the current leverage where it is now. Where are your minds on capital allocation in terms of the dividend going forward and leverage?
Mark Seaton: Well in terms of leverage we’re at 15% now, our target is to be somewhere in the 18% to 20% range, that’s where we like to be. And I think over time you’ll see us creep up to that 18% to 20% target. In terms of the dividend we talked about earlier this year, we doubled the dividend; it is something we feel strongly about. It is something that we discuss with our board on a regular basis, but we’re big proponents of the dividend going forward.
James Rutherford – Stephens: Okay and then on the refi strength that you’ve been seeing given the rates. If that continues to be stronger than expected, are there any changes that you’d have to make to your cost structure or headcount that might impact margins or just anything in the business going forward?
Mark Seaton: At this stage no, we can handle the business coming in.
James Rutherford – Stephens: Okay. And then the last question was on Interthinx and integration, how that’s going up to this point it’s been pretty positive so far, is that going well and then are there any cross sale opportunities kind of coming up as you integrate?
Dennis Gilmore: Actually thanks for the question the integration has gone very well, we’re effectively done at this stage. And we’ve had also, a really good fit with the company from a culture standpoint so our employee basis had been very stable. Business is doing well; we’re very enthusiastic about the analytic piece of that business. We’re little ahead of our game right there, ahead of our schedule there. And we do see cross opportunity, cross sale opportunities with our lenders. So going well we’re happy with that acquisition at this stage.
James Rutherford – Stephens: Okay, great. Thanks for the answers.
Operator: Thank you. The next question is coming from the line of Ryan Burns with Janney Capital. Please proceed with your question.
Ryan Burns – Janney Capital: Great. Good morning everybody just had one quick question. When you guys know that you’re trying to get double-digit Title margins, for your internal goals how do you guys think about realized gains that’s a bit of a tailwind last couple of years, but obviously not sure that will always persist. And if I look at, if I back that out of my Title margins, I get you guys some 10% right now. Just wanted to see how you guys think about that?
Mark Seaton: We exclude realized gains or losses when we talk about our objective of a 10% Title margin. So every quarter we’re going to have noise in the realized gain or loss item, but we look at it excluding that.
Ryan Burns – Janney Capital: Perfect. Thank you.
Mark Seaton: Thank you.
Operator: Thank you. We do have an additional question coming from the line of Mark DeVries with Barclays Capital. Please proceed with your question.
Mark DeVries – Barclays Capital: Yeah, sorry if I missed this, did you comment on how purchase orders are trending right now?
Mark Seaton: Purchase orders, Mark, when we just look at in October, they’re running at about 1,800 orders a day. In the last four or five months, it’s been somewhere between 2,000 and 2, 200 a day. And we’re starting to see the normal seasonal decline that you would typically see in October, so our expectation for October is 1,800 a day and that’s exactly where we were at this time last year, last October was about 1,800 a day.
Mark DeVries – Barclays Capital: Okay got it, thanks.